Operator: Good morning. My name is Sandra, and I will be your conference operator today. At this time, I would like to welcome everyone to the DuPont Third Quarter 2012 Investor Call. [Operator Instructions] To listen to the webcast, please go to www.dupont.com. Thank you. It is now my pleasure to turn the floor over to your host, Karen Fletcher, Vice President of Investor Relations. Karen, you may begin your conference.
Karen A. Fletcher: Thank you, Sandra. Good morning, everyone, and welcome. With me today are Ellen Kullman, Chair and CEO; and Nick Fanandakis, Executive Vice President and CFO. The slides for today's call can be found on our website, along with the news release that was issued earlier today. During the course of this conference call, we will make forward-looking statements, and I direct you to Slide 2 for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures and request that you review the reconciliations to GAAP statements provided with our earnings news release and on our website. As a reminder, our comments on today's call regarding earnings are on an underlying basis. Please see Schedules B and C in the earnings news release for a listing of significant items and their impact by segment. Additionally, comments on today's call regarding company results are on a continuing operations basis unless specifically noted otherwise. We've posted supplemental information on our website including company restatements that we hope is helpful to your understanding of our company's performance. It's now my pleasure to turn the call over Ellen.
Ellen J. Kullman: Great. Thank you, Karen, and good morning, and thank all of you for joining us. In a few minutes, we'll walk through our results for the quarter and provide color on markets and business performance. Before we do that, I want to discuss our actions to build and deliver value for shareholders, as we sharpen our competitiveness and confront our most immediate challenges. We continue to manage the company knowing that sustained growth and competitiveness require a dynamic, agile organization that is deeply connected to customers and markets. Our businesses and corporate functions are constantly working towards that goal. This is how we step up to market challenges, outperform the competition and grow. Continuing macroeconomic uncertainty and resulting slowing demand in certain sectors are reminders of why agility and productivity must be a way of life. Today, we are announcing additional actions we have launched to improve competitiveness and accelerate market-driven innovation and growth by fine-tuning the organization, eliminating cost and expanding targeted productivity programs. This effort is somewhat surgical in that each of our businesses have assessed what action, if any, is warranted versus their market condition and competitive set. Our actions reflect differential management of the portfolio and not a one-size-fits-all approach. I'd like to underscore some of the more important elements of what we're doing. Recent transactions involving Performance Coatings and Danisco advance DuPont's vision to be the world's most dynamic science company, with a long-term strategy of driving competitive advantage in Agriculture & Nutrition, Advanced Materials and Industrial Biotechnology, all of which represent high growth, high-margin opportunities. Over time, you will begin to see the full effect of these transactions as we redeploy capital and fully integrate Danisco and Solae, generating new growth opportunities in high-margin parts of our business. We set aggressive cost targets for these transactions. In the case of Danisco, we're delivering $130 million in cost synergies by year end, well ahead of the original schedule. In the case of DPC, we will eliminate $230 million in residual costs associated with the divestiture. We will take the same disciplined approach to eliminate these costs as we have in addressing the Danisco cost synergies. Based on what we learned during the separation process, we identified additional actions to reduce corporate costs to further simplify and streamline our global infrastructure. We are better aligning the design and cost of corporate functions with business growth strategies and the expected impact of changing market conditions. In addition, current uncertainty in the global economic outlook, softer demand in certain markets and strength in others require realigning business resources to match current growth opportunities and increase responsiveness to rapidly changing market realities. Businesses have identified cost-saving opportunities by optimizing supply chains, consolidating facilities and refining their organizations geographically to improve competitiveness and margins. It's important to recognize that these actions unlock capital, drive science-powered innovation and will deliver growth faster. In order to ensure continued competitiveness at both the function and business levels, our leaders identified actions to deliver $220 million in savings. This combines with the elimination of $230 million in residual costs for a total of $450 million in benefits. This restructuring work is in addition to ongoing productivity programs that address cost and working capital. All these actions are part of a continuum for DuPont, but they obviously take on particular importance given the quarter's results. Business results in the third quarter reflect continued weak market conditions in Europe and uncertainty in Asia. The bright spots were strong performance in Agriculture, Nutrition & Health, Industrial Biosciences and Performance Materials. The most challenged segments this quarter were Performance Chemicals and Electronics & Communications. Agriculture market fundamentals remained strong, supported by robust demand and a healthy outlook for farm income. You will recall, last year, this segment delivered outstanding growth in sales and earnings in Latin America. And despite such a strong third quarter comp and a 10% currency headwind, Ag sales were up 4% this quarter. We remain bullish about the growth opportunities for our Seed & Crop Protection businesses, as the Latin American planting season continues in the fourth quarter and the northern hemisphere season gets underway. And we are bullish on the solid momentum we have heading into 2013. Our Nutrition & Health and Industrial Biosciences segment grew 10% and 5%, respectively, when excluding currency impact. Both businesses delivered impressive earnings growth, with PTOI margin expansion of 300 basis points in the quarter. These results demonstrate outstanding work by the businesses to deliver customer value through innovation and deliver cost synergies from the Danisco acquisition ahead of schedule. Performance Chemicals earnings were down 37%, which reflected earnings decline in both businesses within the segment. Weaker economic conditions, particularly in China and Europe, are reducing demand for TiO2 and fluoropolymers, specifically connected to construction and infrastructure. These businesses continue to focus on customer service, drive fixed cost and working capital productivity and, in the case of TiO2, reduce cost by shifting to lower cost or blends. Electronics & Communications earnings decline was essentially all related to weak photovoltaic markets and an oversupply of PV modules. Trade actions in the United States and trade investigations in the European Union add to market uncertainty and are negatively impacting demand. The bright spot in the segment was the consumer electronics market bolstered by demand for smartphones and tablets. Now, I'm going to turn the call over to Nick to go through third quarter financials. And after the segment reviews, I'll share perspectives on key markets going forward. Nick?
Nicholas C. Fanandakis: Thank you, Ellen, and good morning, everyone. Let's start with the details of the quarter on Slide 3. Underlying earnings from continuing operations of $0.32 per share were down $0.28 versus the prior year. This decline reflects the market conditions that Ellen just covered, as well as $0.28 of headwinds from currency, taxes, lower pharmaceutical income, noncash pension costs and exchange losses. Consolidated net sales of $7.4 billion were down 9% versus the prior year. Volume declined 5% as increases in Agriculture, Performance Materials and Nutrition & Health were more than offset by declines in Performance Chemicals and Electronics & Communications. Volume in Asia-Pacific declined 10%, primarily due to lower TiO2 and photovoltaic materials volume. Excluding Performance Chemicals and Electronics & Communications, Asia-Pacific volume was up slightly year-over-year. Local selling prices increased 1% with declines in Asia-Pacific partially offsetting gains in the other regions. The single largest driver for the drop in local prices in Asia-Pacific resulted from the decrease in silver cost, related to our Solamet paste, which as we've discussed with you before, is passed through direct to the customer. For more information regarding the company's sales by geographic region, please see Slide 4. As Ellen mentioned earlier, today, we announced a restructuring plan, which is summarized on Slide 5. This plan will deliver total pretax cost savings of $450 million by eliminating corporate cost previously allocated to Performance Coatings, while taking additional cost-cutting actions to improve competitiveness. We expect to deliver $300 million of savings in 2013 and the full amount in 2014. Our targets have been established from the bottom up, with specific projects already identified and rigorous monitoring and accountability in place. To achieve these savings, we expect to record a restructuring charge of about $210 million; $152 million of this charge was recorded in the third quarter with the balance to come in quarter 4. These actions will make us a leaner, more agile company and better position all of our businesses for future growth. I'd like to point out that the savings associated with the restructuring plan will essentially offset the dilutive earnings effect associated with the divesting of the Performance Coatings business. And speaking of the Performance Coatings divestiture, the transaction is progressing as planned, and we expect to close the sale in the first quarter of next year. We estimate the after-tax proceeds will be about $4 billion. This is a preliminary figure, recognizing the tax calculation is complex and involves many factors that are not yet finalized. We'll provide you a final number when the sale closes. Now, let's turn to a corporate view of the third quarter, looking at earnings per share variance analysis on Slide 6, which is shown on a continuing-operations basis. First, higher local selling prices resulting in a $0.05 per share benefit. Excluding currency, variable costs were a $0.17 tailwind as raw material, energy and freight costs were down about 5% versus the prior year. While we recognize these costs will be lower in the fourth quarter, we continue to expect an increase of about 1% for the full year. Excluding the impact from portfolio changes, our overall 5% volume decline reduced earnings by $0.15 per share. Let's move to fixed cost, which reduced earnings by $0.08 per share, excluding currency, volume and portfolio changes. This change reflects 3% of higher noncash pension cost and a $0.02 lower plant utilization charges, as well as higher spending on growth investments, primarily R&D and marketing initiatives in the Agricultural segment. The lower plant utilization charges did not represent increases in spending, but rather, were primarily the result of lower volumes in Performance Chemicals and Electronics & Communications. These are a fixed manufacturing cost, normally reflected in inventory that are expensed when production rates drop below normal operating levels. This helps to ensure our inventory values are not inflated. Concurrent with taking actions to support growth, we have delivered approximately $285 million of fixed cost productivity to date, well on our way towards exceeding our commitment of $300 million for the full year. I'd like to reiterate what Ellen said earlier. The restructuring plan we announced today is in addition to these ongoing productivity programs. Year-over-year, currency was a negative $0.13 variance in the quarter. As current -- at current exchange rates, we expect about $0.27 headwind for the full year on a continuing-operations basis. This equates to about a $0.05 headwind in the fourth quarter versus the prior year. Moving on. Exchange gains and losses was a negative $0.02 variance in the quarter. As is typical, the detailed reconciliation is on Schedule D in the earnings news release to show you the extent that our hedging program had on our earnings, as well as the effective tax rate. Income tax was a $0.05 headwind. This represents the difference between the base tax rate of 24% this quarter and 17% last year. The higher base tax rate primarily reflects an increased proportion of earnings in high tax-rate jurisdictions, as well as the absence of the U.S. R&D credit and other tax provisions, which expired at the end of 2011. For the full year 2012, we expect the base tax rate on a continuing ops basis to be about 22%. Lastly, reduced pharmaceutical royalties were a $0.05 hurt. We continue to expect full year 2012 pharma pretax income to be approximately $65 million or $225 million less than that in 2011. Turning now to the balance sheet and cash on Slide 7. Third quarter free cash flow, on a total company basis, was about $250 million or $350 million less than last year. On a year-to-date basis, total company free cash flow was about $800 million lower than last year, primarily reflecting the $500 million contribution to the principal U.S. Pension Plan that we made earlier this year, as well as some other onetime item payments. In light of our current operating environment, we have reduced our planned capital expenditures for the full year to about $1.9 billion or 10% below our previous guidance. Our strong balance sheet continues to serve us well. We value our A/A2 rating and work to maintain the associated metrics that support that. Our long-held strategy has been to maintain a strong balance sheet and return excess cash to our shareholders, unless the opportunity to invest for growth is compelling. Last month, we paid our 432nd consecutive quarterly dividend. In summary, for the third quarter, our market environment was a dynamic one. Our businesses executed well, as they faced a wide array of market conditions. Each business has externally benchmarked performance targets against which they are all executing well while outperforming their peer set. Turning now to the rest of the year on Slide 8. We expect the full year 2012 earnings from continuing operations to be $3.25 to $3.30 per share, excluding significant items. This outlook primarily reflects sequential lower earnings in Performance Chemicals and Agriculture in the fourth quarter versus the third. Karen will provide some more detail when she covers the segments. Lastly, I want to take a moment to reflect on how the recent portfolio and restructuring actions fit with our long-term strategy. The DPC divestiture, coupled with the Danisco acquisition last year, are consistent with our intent to focus on high-growth, high-margin opportunities with innovation critical to success. Today's announcement around restructuring actions will help mitigate the earnings dilution from the DPC divestiture, while positioning our businesses to be more agile and profitable long term. In addition, we continue to exercise good financial discipline and make decisions in support of our strong balance sheet. Our focus on our disciplined processes around innovation, productivity and differential management and our strong execution are the key enablers to our success. With that, let me turn the call over to Karen to review the segments. Karen.
Karen A. Fletcher: Thanks, Nick. Turning to Slide 9. Our Agriculture segment continued the momentum established in the first half, underpinned by a strong start to the southern hemisphere season against the backdrop of tight global grain stocks and sound market fundamentals. Third quarter sales of $1.4 billion grew 4%, with gains in volume and local price partially offset by currency, primarily the Brazilian real. Typical seasonal losses increased to $85 million, as sales growth was offset by unfavorable currency, continued investment in research, selling and agronomy positions in our North America and Brazil businesses and multiple product launch activities. Reviewing the individual businesses, let's start with Crop Protection. Sales of $601 million were up 1%. Volume gains and insect control products and fungicides led the way with local pricing gains in all segments, largely offset by the unfavorable impact of currency. Regionally, we grew in the key markets of the United States, Latin America and Europe, overcoming the negative effects of currency. Our blockbuster insect control products powered by Rynaxypyr are on pace to grow 20% this year. In the third quarter, we successfully launched Cyazypyr insect control products in Argentina and Dermacor insect control seed treatment in Mexico. We continue to pursue registrations of these complementary insect control portfolios in additional countries and markets. In combination, these new innovative technologies derived from the same novel chemical class are on track to achieve our goal of $1 billion in annual portfolio of sales in the next few years. Moving to the seed business. Third quarter sales grew to $822 million, up 6%. The quarter reflected strong performance in Latin America, South Africa and South Asia. In Brazil, summer season corn sales are up despite hectares shifting from corn to soybeans. We expect pricing and share gains in summer corn, following a successful 2012 Safrinha season. These successes are the result of a multiyear plan to invest in our research, production and go-to-market capabilities. Growers continue to see robust performance and insect control with our hybrids containing the Herculex 1 insect trait. This summer, we've expanded grower options as we launched Optimum Intrasect in Brazil with 2 modes of action for aboveground insect control. Recent investments in soybean production and distribution capacity are also paying off, as Brazilian growers are increasing demand for locally developed, high-yielding, high-quality pioneer brand soybeans. The USDA won't issue final 2012 acreage until January of next year, so we can share some preliminary results based upon the recent October report. We held North America corn market share flat in 2012, following gains of 6 points since 2008. Double-digit pricing gains and the highest planting corn acres since 1937 resulted in significant growth in corn sales. Soybeans also experienced significant sales growth from improved price realization and higher planted acres. Soybean market share is projected to be flat to slightly down, following gains of more than 10 points since 2008. Finally, we're excited about what our growers are seeing during the harvest, which has advanced this year due to the early planting season and the widespread drought conditions. Growers planted Optimum AQUAmax on over 2 million acres in 2012. And these products performed exceptionally well. AQUAmax hybrids stayed healthier longer and, most importantly, delivered more bushels at harvest. On more than 4,000 side-by-side comparisons with competitive products, preliminary 2012 yield data shows an advantage of more than 8% with AQUAmax products in water-limited environments. Our Optimum AcreMax 1 and AcreMax XTRA triple-stacked hybrids, containing the Herculex rootworm trait, performed well under this year's heavy corn rootworm infestation and drought stress. We'll round out the lineup in 2013 with the addition of Optimum AcreMax XTreme, which contains dual modes of action for both above- and below-ground insect control. AcreMax XTreme recently received all necessary regulatory approvals for grain import into major world markets. So we look forward to providing a summary of the North American harvest results in the next few weeks. Moving now to the segment outlook for the fourth quarter. We expect significant sales increases versus a tough prior year comp. Seasonal fourth quarter losses will be substantially larger year-over-year and about double the size of the third quarter loss, as sales growth is moderated by higher production costs, new product launches in Crop Protection & Pioneer and continued growth investments. We now expect full year margins for the segment to be about flat year-over-year, which actually is an improved outlook from earlier this year and a tribute to solid execution by both businesses. Looking forward to 2013, the fundamentals for Agriculture remains strong, as we prepare for the upcoming Safrinha season in Brazil and the spring planting season in the northern hemisphere. Our teams are working diligently with farmers to supply them with the seeds, crop protection products and knowledge to meet the world's growing need for feed, food and renewable resources. Moving to Slide 10 for Electronics & Communications. Sales of $607 million were down 28%, primarily due to soft photovoltaic volume and lower silver cost pass-throughs. On a sequential view, growth in photovoltaic materials declined due to inventory destocking throughout the PV value chain. In addition, trade actions in the United States and investigations in Europe are creating downward pressure on end-use demand. In consumer electronics, we continue to see strong demand for our market-leading materials, fueled by ongoing growth in smartphones and tablets. And our packaging graphics business remains stable. For the fourth quarter, we expect sales to be essentially flat with a substantial earnings decline. As a reminder, fourth quarter 2011 results included a $20 million licensing payment. If we exclude this item, earnings would be up substantially. With respect to the photovoltaic market, we lowered our outlook for PV installations in the second half, reflecting today's market environment and pending trade actions. Our current estimate is that global PV installation rates for 2012 will be flat to low single digits, depending on the fourth quarter installation rates. There are no major subsidies expiring at year-end, which has historically caused spikes in fourth quarter demand. DuPont products like Solamet and Tedlar remained industry leaders, and we are committed to our mission of being the leading supplier of differentiated materials for photovoltaics and consumer and other electronic markets. Now let's turn to Slide 11 in Industrial Biosciences. Segment sales of $292 million were flat, as 7% volume growth was offset by the unfavorable impact of currency. Volume growth occurred in all regions and reflects continued strong demand for DuPont Sorona renewably sourced polymer for carpet fiber and growth in key enzyme businesses from new product launches. PTOI of $42 million was up $8 million or 24% on higher volume and the realization of cost synergies related to the integration of the Danisco enzyme business. Enzyme sales for ethanol were significantly lower, as spreads between ethanol and corn prices continue to challenge the ethanol industry. Moving to the fourth quarter, we see sales up moderately and PTOI up substantially, as we continue to realize cost synergies from integration. As a result of these productivity gains and improved margins in biomaterials, full year margin is expected to be up over 3 percentage points compared to prior year. Now let's turn to Slide 12 for Nutrition & Health. Strong execution in the quarter resulted in the business posting sales of $876 million, with earnings of $87 million, which are up 58%. All product lines contributed to solid 4% volume growth, led by enablers, Solae soy specialties, probiotics, cultures and sweeteners. Local pricing improved in all regions as continued mix enrichment and pricing actions, in response to key raw material increases, were offset by the negative effect of currency. Our global teams continue to focus on growing the business, while integration remains on track to deliver meaningful revenue and cost synergies. Our innovation and productivity mindset is evident, as full year margins will be about 10%, which is a 3 percentage-point improvement over 2011. Moving to the outlook for the remainder of the year. We expect moderate sales growth, despite the impact of currency, and substantial earnings growth, with the benefit of continued cost synergies. Sequential margins will be pressured down in the fourth quarter due to raw material inflation. Now, let's discuss Performance Chemicals on Slide 13. Sales of $1.7 billion were down 19% with 18% lower volume and 1% lower selling price versus an extremely tough comp in 2011. Titanium dioxide and fluoropolymer volumes were pressured by a decline in spending in infrastructure and construction in Asia-Pacific and ongoing weakness in Europe. PTOI of $372 million was down 37%, reflecting lower volumes and unfavorable currency. One bright spot was the continued robust demand in industrial chemicals for cyanide and aniline. Despite the weaker quarter, year-to-date segment PTOI is down only modestly when compared to last year's strong earnings performance. For the fourth quarter, we expect sales down significantly and earnings down substantially. We expect continued softness, while TiO2 producers reduce existing inventory levels. On a positive note, customer inventory levels have declined from previous highs and long-term industry fundamentals remain solid. Long-term growth remains tightly correlated to GDP. So for now, we continue to stay close to customers and drive productivity. And we look for this market to bottom in the first half of next year. We see several potential triggers for recovery, including new investment in Asia infrastructure, some stability in Europe and the continued recovery and growth in the U.S. housing market. Turning now to Performance Materials on Slide 14. Sales of $1.6 billion were down 8%, primarily due to lower selling prices and currency. Packaging volumes remained stable, and modest improvement in automotive were partially offset by unfavorable currency and softness in Asia-Pacific electronic markets. PTOI of $306 million increased $75 million on value pricing, lower feedstock costs and positive mix. Continuing productivity efforts also contributed to margin expansion. For the fourth quarter, we expect sales down modestly, with global auto builds flat and continued soft demand in industrial and electronics markets. We expect PTOI to be up substantially versus weak comps on lower costs and value pricing. On Slide 15, we'll cover the Safety & Protection segment. Sales declined 7% on 4% lower selling prices due to unfavorable currency and 3% lower volume. The volume decline was primarily due to stalled infrastructure projects in China, weaker industrial conditions in Europe and the U.S. Military delaying tender on orders. PTOI was down 13% primarily due to weaker mix and unfavorable currency. For the fourth quarter, sales are expected to be essentially flat. We see continued softness in industrial markets and inconsistent spending in the public sector. With the continued new home construction rebound in the U.S., we are seeing a pickup in sales of Tyvek HomeWrap. While this is off a very small base and we do not foresee this being a big needle mover in the near term, we expect the increased demand in this market will continue into 2013. Fourth quarter PTOI is expected to be down moderately due to weaker mix and unfavorable currency. Going forward, S&P will see significant productivity improvement in the future years from the restructuring plan that we announced today. So with that, I conclude the segment update and turn the call over for Ellen.
Ellen J. Kullman: Great. Thank you, Karen. Staying ahead of market trends and taking action to position ourselves well for what lies ahead are cornerstones of how we operate. As we head into the fourth quarter and beyond, we are laser-focused on those principles that keep us competitive and drive our growth. We continue to execute well in most parts of the company. And certain segments such as Agriculture, Nutrition & Health, Industrial Biosciences and Performance Materials are outperforming despite market volatility and soft macroeconomic conditions. We are addressing our challenges head-on. We must continue to stay close to customers. We do this routinely to understand their needs and develop new products that capitalize fully on market rebound and support attractive margins. This connection is also how we gain insight on demand signals, which is critically important when markets are volatile. Our focus on market-driven innovation and the new products we deliver are intrinsic to several opportunities we see for growth, heading into next year. First, our Agriculture business is poised to pay us $10 billion in sales this year. We're heading into 2013 with strong momentum. We've made tremendous progress in our Seed Genetics and our Crop Protection pipeline over the past decade and been rewarded with market share and excellent growth in the U.S. and internationally. And this includes very attractive returns. Everything is in place to continue that track record next year. Second, 2013 is a foundational year for some of the important long-term growth opportunities in industrial biotechnologies and OLED. There are short-term milestones to watch for in these areas that include breaking ground on a commercial cellulosic ethanol plant and steps that we and our partners take to scale up, validate and move closer to commercialization of DuPont OLED technology. A third opportunity for innovation is in automotive where markets continue to recover, and we're aggressively building on our strong presence. In July, we announced an expansion of our successful innovation center in Nagoya, Japan; and last week, we announced the opening of an automotive innovation center in Detroit. In these centers, we collaborate with customers and tap in to our global network of 9,500 scientists, chemists and engineers to hear directly from our customers and deliver innovative solutions to help them gain competitive advantage. Overall, our transformation continues. Actions we've taken to differentially manage our portfolio are shifting us steadily towards higher-growth, higher-margin businesses. Ongoing productivity, coupled with restructuring actions announced today, keep us efficient, effective and competitive. And our market-driven innovation continues to differentiate us in the marketplace, providing our customers with the innovative solutions they need to compete and creating value for our shareholders. So Karen, back to you.
Karen A. Fletcher: Okay, thanks, Ellen. Sandra, let's open up the lines for questions.
Operator: [Operator Instructions] The first question is from Don Carson from Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Ellen, I wanted to get a little more color on your TiO2 outlook, specifically, what -- I know you give segment price volume data, but what are you seeing on pricing and volumes? How steep is the downward trajectory this quarter? And how do you see the business unfolding next year?
Ellen J. Kullman: Yes, so certainly, we are in the midst of a changing market condition over this past quarter. Coming through the second quarter, we saw improvement in that market and with kind of a step down in Asia-Pacific and economic activity and infrastructure investment in China. We see -- we saw volumes fall there. You saw the volume decrease, obviously, in the quarter and expect volume and price pressure to continue in the fourth quarter. Sizing that, we have done that in terms of putting forward our guidance for the year-end estimate, and the range that you've seen there is inclusive of what is a substantial decline in Performance Chemicals earnings along with the seasonal losses in Agriculture. As we look out next year, Don, we do see that there are some things moving in the favor of stabilizing forces around TiO2. If you take a look at housing market improving, what, some 21% year-over-year and the season that will come in the U.S. in the second quarter and China, which is expected to resume some infrastructure investment as they're changing government takes place. Customer inventory levels are normalizing. And so, yes, it's going to be a tough end of the year, but we see stabilization occurring in the first half of next year. And as the macroeconomic picture plays out, we can get more specific on that.
Operator: The next question is from David Begleiter from Deutsche Bank.
David L. Begleiter - Deutsche Bank AG, Research Division: Ellen, could you talk about the user proceeds from coatings and potential for share buybacks given your current share price?
Ellen J. Kullman: Well, Nick, why don't you start on that one for Dave?
Nicholas C. Fanandakis: Sure. David, when you think about the proceeds, I talked to you today, about what the dollar value is now sized to be on an after-tax basis. And as I mentioned, we need to finalize that as the sale actually closes. But I think a good basis to be thinking about right now is around that $4 billion number after-tax proceeds. And the first thing we're going to do is, as I mentioned, we want to make sure we maintain that strong balance sheet. The A/A2 rating is very important to us. So strengthening that balance sheet is one of the key criteria and one of the first things we're going to be looking to do there. Subsequent to that, what we're going to be doing is looking at returning excess cash to our shareholders, as we always talk about doing, unless we have a compelling investment opportunity. That investment opportunity could be capacity increases, could be opportunities around further investments in some of the R&D work. It could be potential acquisitions. So there's a lot of ways in which that could manifest itself. The other thing is, obviously, when you think about returning value to the shareholders, the fact that we've had 432 consecutive dividends displays our commitment to the dividend program and, ultimately, board decision there as to dividend. And share buyback, you mentioned, we have active share buyback programs in place, David, and we continue to operate against those. Primary purpose there is to make sure that we don't have dilution in the earnings from any of the management options that would be exercised over the course of time.
Operator: The next question is from Kevin McCarthy from Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: With regard to your seed business in North America, would you comment on perspective pricing prospects for 2013, relative to the range of positive 5% to 10% that your competitor put out? And specifically address AQUAmax, your yield differential of 8% there. What are you looking at on pricing in acreage for that product, please?
Ellen J. Kullman: Yes, Kevin, we're really pleased with our Agricultural business has performed through this season and is performing in Latin America. We see that value proposition on the Right Product, Right Acre and the improvements in our product portfolio that Karen mentioned, as she went through the segment remarks, are really having an impact in our position. We have launched our price card. We do price locally. I think that I'm not going to size that today, but ‘cause we -- we do it on a customer-by-customer basis, and those discussions are going on right now. But I think it's a very positive environment from a value that we will continue to supply next year with our new products, with Xtreme, with AQUAmax. And I can tell you that the early indications are early orders are strong. So we see this environment very positive going forward, and we'll be pricing it as we come through and have that order book filled.
Operator: And the next question is from P.J. Juvekar from Citi.
P.J. Juvekar - Citigroup Inc, Research Division: A quick question on photovoltaic business. Can you discuss how much of this decline is cyclical versus secular? And when do you think this business can return back to its former level? And then just quickly, Nick, there was a charge in the segment in thin films. Maybe you can add some color to that.
Ellen J. Kullman: Yes, I'll take the first one and Nick can be additive. So I mean if you take a look at PV, we were coming through -- the second half of last year, obviously, there was inventory buildup in the value chain. That was righting itself, and we were seeing improvement in that industry coming through the first half of this year. And then, there is overcapacity from a module standpoint, coupled with trade actions taken that have really created -- the best thing I can call it is confusion, uncertainty that is impacting demand. Now, I think it might take more than a quarter or 2 to play this out. Our expectations, as we look forward, is that these things will work their way out. But our expectations are sales next year, 2013, are going to be flattish with 2012. Now, we do believe, longer term, as this works through, that the – with where multi-pricing is versus grid parity that we are believers that this industry has a solid future and will continue to get back longer-term to double-digit growth. It's just not going to happen in '13 is our view of the marketplace today. Nick.
Nicholas C. Fanandakis: I'm sorry. P.J., on the second piece that you talked about, which is the impairment charge that we took and if you size that, it was $150 million impairment charge relating to this segment, E&C. This related to the thin-film PV modules and systems that we manufacture in China. This did not have anything to do with our materials such as the Solamet or the Tedlar. This was around the thin films module manufacturer. And the reason is what Ellen already articulated for you, the uncertainties going on, the pricing pressures, the margin compressions resulted in us taking that impairment in the quarter.
Operator: The next question is from Jeff Zekauskas from JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Can you remind me of the timing of your TiO2 expansion over the next 2 years? And then secondarily, can you talk about changes in incentive compensation in the third and in the fourth quarter in the light of your earnings, perhaps, not being as strong as you would've initially hoped?
Ellen J. Kullman: So we had a broad program on expansion that included remounts in every facility we have and a second line in Altamira. Those expansions were to take place in '12, '13, and '14, with Altamira scheduled to come on very late '14, early '15 kind of timeframe. This is a business in the market that we evaluate those and bring them on in a very disciplined manner, and we'll continue to gauge the market and that. But we're committed to those expansions and I think that they'll serve us well over the long term, because continued demand at TiO2 is going to continue to grow at about GDP. So whether it's delayed a quarter or whatever, time will tell as this marketplace plays out. But we think it’s solid. Your second question was around the impact of -- well, obviously, our compensation programs will be lower based on the impact of the second half of the year. I'm not sure there's a materiality to the impact on our earnings from that standpoint, but those estimates will be lower as our earnings will be lower for the year.
Operator: And the next question is from Bob Koort from Goldman Sachs.
Robert Koort - Goldman Sachs Group Inc., Research Division: So if you could just provide a little bit more clarification on a couple of the restructuring charges. I'm interested on the S&P side. It looked like that was about 40% of the severance but that segment might be 10% or 15% of sales. So what's causing sort of the excessive adjustment there? And then what is it in industrial polymers that's requiring impairment charges? I thought those markets were maybe a bit healthier so is there 1 or 2 product lines that are causing that?
Ellen J. Kullman: Yes, Nick, why don't you give us some clarity here?
Nicholas C. Fanandakis: Sure. I think, Bob, when you look at the overall margins of S&P and you can see what our long-term objectives are and where we’re driving to achieve. Couple that with the market conditions that we're facing right now in the slower – in the industrial segments, I think you can understand why S&P is driving for some of those restructuring changes and why they represented $55 million out of the total $152 million of charge in the quarter. It's ways that we're going to drive to achieve those long-term margins that we realized or that we projected as the market continues to come back for us. On the polymer side, I think what you're probably referring to is the impairment charge there and that was a $92 million impairment charge and this related to our neoprene facility. This is a product that supplied into the industrial polymers sector of belts for mining industry, that type of thing. And what we've seen there is margins deteriorating, pricing under pressure, raw material increases and those market conditions resulted in us taking that impairment of $92 million in the quarter.
Operator: The next question is from Frank Mitsch from Wells Fargo.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Just one quick follow-up in terms of metrics on titanium dioxide. You indicated that you saw inventory levels were coming down to more manageable levels. So if you could give us some metrics there. And then also on the foreign exchange side, we don't often see this order of magnitude negative impact for DuPont on ForEx and I gather a large part of that was Latin America. Can you talk about your pricing strategy down there? How much is in local currency? How much is in U.S. dollars? And how much do you anticipate this continuing into the fourth quarter?
Ellen J. Kullman: Yes. So thanks, Frank, for the question. Now, on the TiO2 question, if you read through to what our customers in TiO2 are saying in their releases are -- especially the U.S., they talk about destocking is largely complete. They talk about normalizing inventory levels. So those comments are really drafting off of what our customers are saying in the industry, which is a gauge in terms of the whole value chain and where inventories are on. And I think a positive one for really going into next year in a season. You talk about the Brazilian real and Nick can comment on that.
Nicholas C. Fanandakis: Yes. So when you think about Ag and the pricing in the region in Latin America, you got local currency pretty much in Brazil around our corn supply. And when you think about Argentina, that would be done in the US dollar basis. And when you think about the currency change that has occurred in the quarter, for the real, we were at 1.63, third quarter last year, and it's at 2.03, third quarter this year. So you can see the significant change in the currency and that 20% difference really is part of that $0.13 currency impact I talked about. You didn't talk about -- ask about euro, but the euro is same sort of magnitude. You're talking about last year, it was 1.24, and this year it’s 1.44. So the currency impact did have a significant impact of the overall EPS.
Operator: The next question is from Mike Ritzenthaler from Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: For the newest restructuring effort announced this morning, can you help provide some context around geography, the geography component, for the calculus of trimming the workforce versus the business line? And I guess, in the broader context, you've been focused on productivity for several years, which, of course, has been beneficial, but at what point are there diminishing returns? I think in a previous question, you had answered about S&P. At what point are the diminishing returns as you see some end markets, such as housing, turning the corner?
Ellen J. Kullman: Yes. Thanks, Mike, for the question. The impact of the restructuring hit all regions of the world. So if you think about even the residual cost from DPC, that residual cost resides in every region of the world and we're not -- we don't size it by geography. We allow our businesses and functions to talk to their people locally, which is where those conversations should take place. So it is an overall type of thing. In the businesses, I would describe it more as surgical in terms of looking at their value change and making the necessary structural changes that they need, regardless of where it is in the world, to react to a changing environment. And so when you think about productivity, it is kind of a funny story. We learned a lot by doing the separation from DPC that allowed us to think about how we operate from a corporate core and infrastructure standpoint that really enabled us to take additional action at this time, and to really streamline our corporate functions and support for our businesses to be much more efficient and effective in getting the necessary work done. And from a business standpoint, as you know, businesses do -- product lines move businesses. Each one has their own particular cycle but some of these things are to create renewal or headroom for investments in new products and research & development in different areas. And so it's more of a renewal standpoint from them. And with the size and breadth of our product line, I think there's always going to be opportunities to do that, depending on our ability to innovate and really replace ourselves right out in that marketplace. So it is about getting back to focusing on creating momentum, streamlining the headquarters and the corporate staff and really allowing the businesses to respond very agilely in a very uncertain environment.
Operator: The next question is from Mark Connelly from CLSA.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: 2 things. First, when I look at infrastructure investment in China, it looks like it rose in September. It's been positive all year. Residential has been flat since April. So can you help us understand what specific end markets you're feeling the pressure in? And then second, just a quick question, of the 1,500 people, how many of them are outside of DPC?
Ellen J. Kullman: Yes. So the 1,500 people are not in DPC. So DPC, we are in the process of standing that up as we separate. These 1,500 people are either in as part of the residual cost or part of the other actions that we are taking from the business or functional standpoint. As far as China goes, it's always interesting to try to get underneath those numbers. But if you think about housing, commercial construction and residential construction are not providing any lift from a China standpoint. And if you take an example, like if you think about fluoropolymer, that goes into wire cable. And that's basic to a lot. But it's not showing any progress. And so it impacts a lot of different industrial, transportation and construction type of markets. I mean the bright spot we see in Chinese is automotive and Nutrition & Health and Agriculture. And those are the 3 areas that we continue to see movement in. But on the industrial side or the construction side, we don't see any meaningful activity.
Operator: The next question is from Chris Morsella [ph] from RBC Capital Markets.
Unknown Analyst: Just thinking about 2013, given your long-term guidance for 7% sales growth, then 12% EPS growth, and given that 2012 may set a lower base than previously expected, can you maybe frame your early outlook in 2013 in this context?
Ellen J. Kullman: Yes. So, let me talk about '13 for a minute. I think that, that might be helpful. So if you talk to our economists, they're projecting it to be -- GDP to be a little lower at '13 than it is this year. Western Europe, 0. Asia growth, everybody pegs it comparable to '12, but I think it's very different depending on sector. North American GDP, they're expecting to grow less than 2012 due to the many uncertainties that we see at least impacting the first half of the year, like the debt issues, fiscal cliffs and the election outcome. But if you take a look at the sectors where we participate, Ag’s strong fundamentals, global stocks remain tight. Prices are good from a farm income standpoint but they're volatility. We've got excellent momentum from our 2012 product performance and the early orders that we're seeing now for a strong 2013 strong season. Planted acres are forecasted to be very good for Brazil Safrinha and North America and so we're very focused on really delivering for the growth that we see there. Nutrition & Health and Industrial Biosciences continued margin expansion through cost synergies, delivering on the synergies from the acquisition. You saw the kind of margin expansion we saw. They got new products in the pipeline and innovation coming. And I think we'll see continued performance improvements there. If you take a look at Performance Materials, auto builds are forecast to be up maybe only 1%, 1.5% next year. So off its 5%, 5.5% base this year but growth. And our innovation centers are really helping us with penetration on these advanced polymers into that industry. So let's talk about things like Safety & Protection. The restructuring actions will take hold. We'll see savings in that segment next year that will help expand margins, in addition to U.S. housing improvement that will help bolster up them. In Electronic & Communications, I've already stated that a PV, we expect it to be flat year-over-year. And the improving part of that will continue to be the strength in smartphones, tablets and things. And PChem, as we said, we expect the performance chemicals, the TiO2 market, to bottom in the first half of '13, and that longer term, TiO2 demand will continue to correlate with GDP. So overall, there's a lot of positives and then there’s some areas that we have to really focus on like TiO2 and really in getting PV to really work through some of their issues, as they are. And so '13 is going to be -- going to really be determined by the macroeconomic environment and what happens from the United States coming through the election with these issues. So I think we've got a lot of strength going with us forward and we're on top of the challenges we have to see where that will end.
Karen A. Fletcher: Okay, thanks, I think we're out of time. So I appreciate everybody joining us this morning and the IR team is happy to take other questions offline.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.